Operator: Good day ladies and gentlemen, and welcome to the First Quarter 2008 Mosaic Company Earnings Conference Call. My name is Natasha and I will be your coordinator for today. At this time, all participants are in a listen-only mode. We will be facilitating a question-and-answer session towards the end of this conference. [Operator Instructions]. I would now like to turn the call over to Mr. Doug Hoadley, Vice President of Investor Relations. Please proceed sir.
Douglas Hoadley - Vice President of Investor Relations: Thank you, and welcome to Mosaic's fiscal 2008 first quarter conference call. Joining us for the call this morning are Jim Prokopanko, President and Chief Executive Officer; Larry Stranghoener, Executive Vice President and Chief Financial Officer; as well as several other members of Mosaic's executive management team. Before I turn the call over to Larry for some opening remarks, let me read our Safe Harbor statements. Statements made during this conference call contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such statements include, but are not limited to statements about future financials and operating results. These statements are based up on the current beliefs and expectations of the Mosaic Company's management and are subject to significant risks and uncertainties. Actual results may differ materially from those projected in the forward-looking statements. The remarks made during the conference call, are based on information and understandings that are believe to be accurate as of today's date, October 9th, 2007. Additional information concerning factors that could cause actual results to materially differ from those in the forward-looking statements is included in our press release issued... issued today and in our reports filed with the Securities and Exchange Commission. The call is the property of Mosaic. Any distribution, transmission, broadcast or rebroadcast in any form without the expressed written consent of Mosaic is prohibited. With that as important background I'll turn it over to first to Larry Stranghoener who will discuss our first quarter results. Following that Jim Prokopanko will discuss our outlook for the remainder of fiscal 2008.
Lawrence W. Stranghoener - Executive Vice President and Chief Financial Officer: Thank you, Doug and good morning to everyone. As Doug mentioned, I'll address highlights from our fiscal 2008 first quarter financial results. Our net earnings for the first quarter ended August 31st, 2007 were an impressive $306 million or $0.69 per share. These quarterly earnings are the highest since Mosaic formed three years ago as we continue to demonstrate dramatic performance improvement on a year-over-year basis and also compared with the prior quarter. The strong results were mainly driven by a large increase in our phosphate prices, significantly higher potash volumes and selling prices and a turnaround in our Offshore segment in part due to inventory gains. There were three specific items impacting our results for the quarter deserving special mention. First; there were unrealized mark-to-market losses on derivatives of $30 million or approximately $0.04 per share. As you know, we regularly take positions in the natural gas and foreign exchange markets to help manage economic exposure. These positions do not qualify for hedge accounting. Hence we mark them to market each quarter. Second; there were unrealized non-cash foreign currency transaction losses of $19 million or approximately $0.03 per share. This is a direct result of the strengthening Canadian dollar, which has continued to strengthen thus far into the second quarter. Because this line on our income statement largely reflects non-cash, non-economic exposure, we choose not to spend money to hedge it. Third, we had a tax benefit of $20 million or $0.05 per share during the quarter. This is due to foreign tax credits of $18 million, a reduction in Canadian tax rates of $5 million and a $6 million impact from the reversal of U.S. valuation allowances. These tax benefits were partially offset by a $9 million cost related to a dividend from a partially owned subsidiary. Including this $20 million benefit, which was worth about five percentage points, our effective tax rate was 25.4%. For fiscal 2008, we expect our effective tax rate will be in the low 30s percentage range, which are slightly lower than our prior guidance. We had impressive cash flow from operations of $438 million in the first quarter, an increase of $288 million from the same period last year due largely to our very strong earnings. As you know, we are focused on cash generations since our inception and it is gratifying to see this progress. Our total debt at the end of August 2007 was $2.2 billion, resulting in a debt-to-capital ratio of 32.8%, which is down considerably compared with 41.9% a year ago. Net of cash, debt-to-cap is an even more impressive 26.2%. We repaid an additional $300 million of debt in September, bringing our total pre-payment since May of this year to $700 million. Given the robust market environment and continuing strong cash flow, we expect to pre-pay additional debt during fiscal 2008. This progress was just recognized by Moody's, which upgraded our corporate credit rating by 2 notches to BA-1. This is just 1 notch below our investment grade goal. You can see more details on our balance sheet and cash flow in our 10-Q, which we expect to file tomorrow. With that quick recap on first quarter results, let me turn it over to Jim.
James T. Prokopanko - President and Chief Executive Officer: Thank you, Larry. This is a report I am pleased to provide to our Mosaic shareholders. My comments will focus on the outlook for the remainder of fiscal 2008. Let me start by stating that the current agricultural outlook is extraordinary. Farmers around the globe are harvesting a record crop right now. This is not surprising given this year's higher grain and oilseed prices and large increases in planted area in crop nutrient use. What is surprising is that world grain and oilseed production will still fall short of projected demand by about 24 million tons. This highlights the need for even larger increases in both planted area and yields in order for global production to keep pace with accelerating demands. Grain and oilseed demand is increasing at a faster pace due to strong traditional drivers namely population and per capita income, as well as the explosive growth in biofuels production. World population continues to increase at a rate of about 77 billion people each year. More importantly, diets continue to improve due to income growth, especially in large and rapidly developing economies in Asia and Latin America. Biofuels are adding substantially new grain and oilseed demand. In fact biofuels may account for one-quarter to one-half of the projected demand during the next three years. This rapid development of biofuels however has resulted in some growing pains. For example, the exponential growth of U.S. ethanol production is creating transportation and logistical bottlenecks, and causing ethanol to trade at a discount for wholesale gasoline. That combined with higher foreign costs has squeezed ethanol margins. It will take time for infrastructure to catch up with production capabilities, but ethanol production will continue to increase. These demand-pulled pressures have ignited one of the strongest and broadest rallies in grain and oilseed prices since the 1970s. Wheat is currently leading the rally with current prices near $8.60 per bushel today. Global wheat stocks at the end of 2007-2008 crop year are projected to drop to their lowest levels since 1981, and the stocks to use ratio is the lowest in modern history. This rally however is not limited to wheat, corn and soybeans. The price of rice is at 10-year high and palm oil continues to trade at price levels just below the record set earlier this year. A fierce battle for acres is shaping up between the major crops this year. The 2008 new crop prices for corn, soybeans and wheat are roughly $3.90, $9.20 and $6.50 per bushel respectively. These are extra ordinary prices, which will result in a supply response. For example, more areas available for the 2008 crop in both the United States and Europe. In the United States, farmers removed about 2.5 million acres from the Conservation Reserve Program or CRP at the end of September. Most of this land is best suited for wheat production. In Europe, the EU agriculture ministers recently eliminated a 10% acreage set aside requirement for the 2008 crop, with this move expected to boost planted area by 1.6 million to 2.9 million hectors in 2008. These new European acres coming into production will require additional crop nutrients most likely from Russia and North Africa, which are currently being shipped to Latin America and Asia. The bottom line is that the grain and oilseed markets are signaling farmers to produce a bigger crop in 2008. We expect farmers will respond by planting more area and intensify cropping practices in order to boost yields. As a result, crop nutrient demand prospects remain extremely positive again this year. Now, turning to the phosphates and potash outlook. Demand prospects for both nutrients continue to look very strong. For example, Brazilian fertilizer shipments are projected to increase 17% to a record 24.5 million tons this year. Brazilian process phosphate and potash imports this year are forecast to rebound 52% and 24% respectively compared with the year ago. Indian demand also remained strong due to the combination of high grain prices and government-controlled retail fertilizer prices that are less than one-half current world values. We project that India will import about 2.6 million tons a DAP in 2007, nearly equally to last year's high level. Indian potash imports are projected to rebound a bit more than 20% from a year ago. China remains a wild card for both phosphates and potash. China's export... is expected to export more than 4 million tons of DAP, MAP and triple superphosphate in 2007. That is more than double the 1.9 million tons exported in 2006. However, we believe this export activity may have shorted China's domestic market in the process. In the case of potash, China traditionally enters into annual supply agreements with shipments beginning in January. Our export association, Canpotex will be looking to close the significant gap between higher world potash prices and the lower prices paid by the Chinese in calendar 2007. We anticipate that the Chinese potash supply agreement for 2008 will be closed in a timely fashion, so stay tuned. North American industry shipments so far this fertilizer year are off to a faster start than a year ago. DAP and MAP shipments were up 38% and potash shipments were up 9% from last year. Demand clearly has outpaced supply during the past several months resulting in a draw down of producer's phosphate and potash inventories. For example, DAP and MAP inventories held by U.S. producers at the end of August declined to the lowest level in more than 15 years. Potash inventories held by North American producers at the end of August dropped 41% from year ago. This tight market situation has reflected and continued strong phosphate pricing. We have recently implemented $11.00 per metric ton increase for the DAP price, FOB Central Florida and the export price in Tampa remained strong at around $440 per metric ton. The only negative factor has been high ocean freights, which are nearly double the year ago levels. For Potash, the tight market situation has also reflected in higher prices. A year ago, the delivered price of potash to Brazil hit a low of $185 per metric ton. The most recent price increase of $55 per ton by Canpotex which takes effect in... in December will take Brazilian prices to a delivered value of $355 per ton. As with phosphates, freight levels have increased dramatically. But clearly, the net back value of equivalent price FOB mine has increased dramatically over the last year. In addition, we recently implemented a price increase of $30 to $38 per ton for the North American potash market depending on location. Now allow me to conclude and summarize. Grain and oilseed demand continues to be larger than supply, leading to higher commodity prices, record highs for some crops. Due to these high crop prices, we expect to see an increase in acres planted and intensified cropping practices. In turn, we expect this will lead to continued strong crop nutrient demand growth throughout the world. For both phosphate and potash, we continue to see low inventories and tight markets as demand growth outstrips new capacity additions. As a result, prices for phosphates remains strong and prices for potash have and likely will continue to increase. Although these market conditions are extraordinary, in no way does this diminish our efforts to continue building a world class and high performing organization. We have made tremendous progress in the past three years in not only integrating our two companies, but improving our processes and reliability of our businesses throughout the world. We remain determined to better serve our customers. We continue to drive for improvements in all our operations, and we are determined to deliver consistent and strong results for our shareholders. My expectations remain very high for fiscal 2008, and well into this foreseeable future. Thank you. Back to Doug.
Douglas Hoadley - Vice President of Investor Relations: Thank you, Jim. Let me just add a personal note. This maybe my last earnings conference call, as I've recently accepted a new position within Mosaic that I'm very excited about. Now the operator, please open up the... open up the phone for questions. Thank you.
Operator: Thank you. [Operator Instructions]. And your first question comes from the line of Marshall Reid with Banc of America Securities. Please proceed.
Marshall Reid - Banc of America Securities: Good morning, nice quarter. Just a question on phosphate, can you talk about the mining and concentrate cost this quarter. Can you talk... maybe quantify that, and also can you discuss sort of the utilization rate last quarter and your expectation for this quarter? Do you have any plant turnarounds coming?
Lawrence W. Stranghoener - Executive Vice President and Chief Financial Officer: Phosphate costs, Marshall, were up this quarter compared to last year's first quarter, compared to the fourth quarter as well. They were not far off of our budget; however, they were up because of higher freight costs, they were up because of the mark-to-market effect that we described. They were up because of turnaround activity occurring this year's first quarter that was not present in last year's first quarter. They were up as well because of modestly higher raw material costs. I would caution you not to focus too much on quarterly trends in phosphate costs, because they can be lumpy because of turnaround activities and because of the vagaries of mining. Sometimes you are in rich ore bodies; sometimes you are in leaner ore bodies. And so what we focus on is rolling 12-month results, and we would prefer to have lower... have had lower costs in the first quarter, we're confident in the cost outlook for the rest of this year, beginning in the second quarter.
James T. Prokopanko - President and Chief Executive Officer: I am going to ask Steve Pinney, our Senior Vice President of Phosphate Operations to comment on the operating rates.
Steven L. Pinney - Senior Vice President, Phosphate Operations: This year's operating rates with the high demand are at about the highest levels, so we can support our asset utilization, which is the combination of operating rates and rate that we operate the plants at is that in the high 80s to low 90s. We expect them to be there through the coming year.
Marshall Reid - Banc of America Securities: Right. One more question, just on the balance sheet, net debt is down to around $1.6 billion by my math and the investment grade, starting to look more likely here. Given any thoughts to how would you use free cash flow in fiscal '09 yet, and can you sort of talk about your priorities there and to the uranium project be one of them?
James T. Prokopanko - President and Chief Executive Officer: Our intent is to pay down... continue to pay down debt, and get us to levels we believe we'll have us at investment grade. And we are as well hopeful and expectant that is in our near term future. What we do in 2009, we are not prepared to itemize what those are. You mentioned uranium; that is definitely a possibility. We are optimistic about the prospects for the industry, the phosphates, the potash businesses. The near and mid-term prospects look very encouraging, and we are working on some growth opportunities that we will announce in due course, but we do believe there is a good places to grow business and further invest in the potash and phosphate nutrients.
Marshall Reid - Banc of America Securities: Thanks Jim.
Operator: Your next question comes from the line Don Carson. Please proceed.
Donald Carson - Merrill Lynch: Thank you. Jim, a couple of questions on the phosphate outlook. We are seeing some new expansions overseas, OCP has two, there is stock perhaps not overseas, but the Fentanyl restart in Mexico. How do you see the export outlook for phosphates unfolding over the next year and just sort of a follow up on your ag outlook. What specifically are you looking for in terms of corn versus soy and wheat acreage in the U.S. this upcoming planting season?
James T. Prokopanko - President and Chief Executive Officer: Well, you are correct. There is a couple of phosphate projects that are going to be coming on stream anytime between January. The Fentanyl one is talked about coming out early in the new calendar year and a couple in the Middle-East that will coming on towards the summer months. Our forecast is with one proviso [ph] is that the world demand will handily absorb the new production coming on at the rate that it's coming on. And the wild card and I'd characterize that in my comment is the China market. They have gone from exporting 2 million tons annually to 4 million tons annually and we are really not clear on the sustainability of doing that. And we have suspicions that they have any reasons to believe that they have over shopped their exports, will short the domestic market and depending on... and that's going to have an influence on what happens next year with the phosphate supply if they are short 1 million or 2 million tons from this year's export levels. But that said, we are seeing prices hold, demand remains strong around the world and we don't anticipate these new startups to impact the forecast for our price stability going forward. Now, you've asked about grain markets. That continues to look strong. We've just had a very strong North American grain harvest coming in and that said, the world demand still is continuing to outstrip this growth and supply. Carry over stocks remain... continue to decline in corn. We saw it in spades with wheat and saw the result of a $9 spike to $9 wheat and we anticipate very strong dynamics for the oilseed markets and that's going to be driven much by what's happening in Brazil with their oilseed crop. It's time to start planting the oilseed crop. It's a little dry in the north, a little wet in the south of Brazil and that's causing some consternation about what the size of the oilseed crop and in fact corn plantings in Brazil. So there is much to be played out yet and it won't I think be till January or February that we get a good sense of what acres are going to be planted. At these kind of high bean levels, the temptation to plant beans will be high. Yes, there is a lot of demand for corn and corn's going to have to respond in price in order to get the necessary acres planted. So at this point, corn acres of... to make a swag at where they will be, I think they could be down as little as 3 million acres to 90 million in the U.S. to perhaps 5 million acres down to 88 million acres in the coming year. But there is a... there is a lot to happen before that is finalized.
Donald Carson - Merrill Lynch: Okay. Thanks and one follow-up for Larry. Larry, SG&A came down a lot faster than expected. Is this the run rate we should expect going forward now? Or do you have further reductions planned?
Lawrence W. Stranghoener - Executive Vice President and Chief Financial Officer: SG&A can be very lumpy. The fourth quarter was of course much higher than what you saw in the first quarter. I would not simply annualize the SG&A rate. We would stick with the guidance of $280 million to $300 million of SG&A for the year.
Donald Carson - Merrill Lynch: Okay, thank you.
Operator: Your next question comes from the line of Edlain Rodriguez with Goldman Sachs. Please proceed.
Edlain Rodriguez - Goldman Sachs: Good morning guys. A couple of questions, first one on phosphate. How do you expect the potential higher phosphate rock prices, which potentially could be going up 100 that was per ton to impact DAP prices and when?
James T. Prokopanko - President and Chief Executive Officer: Well, the current spot price of rock quoted by the Moroccans, FOB Morocco is in that $100 range and so that has been already, I would say factored in. Mosaic only buys a couple of 100 somewhere in between 200,000 and 300,000 tons of our total 16 million ton annual production in order to blend up our current rock rate quality. So it is not a material impact to our cost. But it has been I'd say partially factored in, there maybe more to come. Those that don't have rock really have a challenge, with this is done as effectively increase the value of Mosaic's rock mining operations and rock reserves. Bottom line, it provides the floor for the phosphate prices. This is just yet another higher cost to producing the product along with higher capital costs, recently higher sulfur costs. It's a higher cost game, and this is another reason I believe that phosphate prices are going to be sustained at these higher levels we are seeing today.
Edlain Rodriguez - Goldman Sachs: Yes. I mean that's what I was trying to get up, if that was going to push that prices higher. The other question Jim, you've talked about this long industry fundamental, if you're looking at the capacity coming online... nothing that big, that's going to do well the market right now. But is there anything I would dare, that concerns you, because things looks so good, you would take something must be keeping you awake at night?
James T. Prokopanko - President and Chief Executive Officer: That's what I tell you our CFO for us stay awake. I generally sleep fairly well knowing that he is awake. Seriously, he... the issue would be commodity prices. That is the one aspect that we don't have any control over, and if we were to see something that a world event, a collapse in energy prices, an un-rattling biofuels and a reduced demand for a... reduced demand for corn, oilseeds and wheat, we would see a knock on our back to our fertilizer consumption, that's my single biggest concern.
Edlain Rodriguez - Goldman Sachs: Okay, thank you.
Operator: Next question comes from the line of Michael Judd. Please proceed.
Michael Judd - Greenwich Consultants: Good morning, thanks for taking my question. In the phosphate, I see that the on a year-over-year basis in terms of volumes, I see that international was down, but obviously North America was up. I was just wondering if you could talk about some of the trends that you've seen in September and October so far in terms of the North American versus international volumes in phosphates, please.
James T. Prokopanko - President and Chief Executive Officer: I am going to turn that over to Rick McLellan, our Senior Vice President, Commercial, and he looks after both our domestic and worldwide distribution and commercial operations.
Richard "Rick" N. McLellan - Senior Vice President, Commercial: So, if the question is about what did we see in September and what do we see in October, traditionally this is the time for our export shipments to improve, and we have seen that happen. As well, we have seen continued solid demand in North America for what sets up to be a pretty good fall application season.
Michael Judd - Greenwich Consultants: Okay. And then do you have some similar commentary on potash in terms of specifically October and September? So at this point, we should have roughly half the quarter, right?
Richard "Rick" N. McLellan - Senior Vice President, Commercial: We are seeing real solid export shipments to the coast, specifically Jim talked about earlier. The Brazil market is up dramatically on potash, and we are shipping record volumes to... for export as well as domestically. Again, we are expecting a very solid fall season. So both international markets and domestic markets are rolling around... along very well.
Michael Judd - Greenwich Consultants: Okay. And just lastly, when do you expect the negotiations with the Chinese to wrap up? I mean do you have some sense of timing?
James T. Prokopanko - President and Chief Executive Officer: Hard to comment on, my advice to the Chinese would be to get that done as soon as possible before the other world markets start. North American market for example, starts drying on the potash stocks. Hard to say, and I can't really comment on that. But it's... they have reason if you look at the SMBs to get on with the conflict.
Michael Judd - Greenwich Consultants: Thanks a lot for the help.
Operator: Your next question comes from the line of Dave Silver. Please proceed.
David Silver - JP Morgan: Yes, hi good morning. I have a couple of questions. I guess first, I wanted to maybe get your sense of the phosphate situation in India. So, according to the data we see, and I guess, Jim, domestic production in that country continues to kind of fall short of targets. And I assume that what they don't produce, they need to go our into the market and purchase. So can you... I know you have some people on the ground there. So can you give us your sense of incrementally what's been happening in that key market the last few months, and whether you anticipate, you would ratchet up your expectations for their import demand for DAP?
James T. Prokopanko - President and Chief Executive Officer: Yes, I have, I got a couple of comments I could make on that. India's DAP demand is expected to see strong and largely due to the good, strong favorable farm economics. They have a choice to either grow their own wheat or to import very, very expensive wheat. So their incentive is grow as much as they can. DAP users are projected to increase to about 7.2 million tons is the numbers we have for 2007-2008. That's up above 5% from 6.9 million tons in the past year. They are struggling with DAP production with their granulation plants in India and they are below the government target. Production during the past five months of the year, April to August was about 1.7 million tons. That's down almost 10% from the prior year and what we see from the Fertilizer Association of India is that phosphate production declined about 5% so far this year. So they are producing less internally and we forecast that imports will total somewhere around 2.6 million tons in this calendar year and that includes a small build up of pipeline stocks, but most recently we haven't seen them motivated to mix up the necessary purchases at this point that we think that they need to be doing. The government heavily, heavily subsidizes it and so this has now become a matter that's just not the local industry that is making decision since so much of this is paid for by the state government. The Indian governments involved as well as the commercial operations and so we see a shortfall in India's availability of the phosphate fertilizers.
David Silver - JP Morgan: Okay, no, thank you for that. And then also on the phosphate side, Jim or whoever, I guess I was wondering if you could comment on the sulfur situation which certainly seems to be gaping up here in a lot of world markets. So, broadly speaking, I mean do you anticipate any... is your supply situation secured I guess in terms of availability and then secondarily, what... what are some reasonable expectations for where pricing in Tampa might go over the next quarter or two. Thank you.
James T. Prokopanko - President and Chief Executive Officer: Well it's been a remarkable turnaround from where we were last, I guess it was last spring where we are $50 range kind of sulfur, $55 range and now we are in the $70s and probably proceeding into the $80s. There is a series of turnarounds at refineries and gas plants, happened concurrently and they all took a little longer then they were first expected and some of them overlapped, so the market promptly tightened up in the sulfur markets. And we buy typically on a quarterly basis, one quarter ahead, we make our commitments. The plant started opening up, coming off turnaround and we had a easing of the supply and more was available until there is just one incident after the other. Pipelines were taken down, small refinery fires, things tightened up, we had a little weather in the Gulf and that slowed things down a bit. And so we went back and had more pressure on reduced supply and still strong demand. So, now we are sort of the high 70s, low 80s on sulfur pricing and we are getting what we need. If there's an issue, it's a logistics issue, getting the plant... the product delivered to our facilities. We have gone through the inventories at our granulation plants and now we are just running a tight line where we don't expect to have any plans come down. But we are, we'll get the product we need to produce the phosphate we have forecasted and meet the sales we have. So barring any shock in the Gulf, we think we're going to get through this one, at slightly higher prices.
David Silver - JP Morgan: That's great. If you could indulge me for one more question, Jim, this has to do with I guess some October 22 and the exploration of the lockup on Cargill's holdings of Mosaic stock. And to be fair I guess my views on this changed as your stock price is going up. But I guess, I was just wondering how you as the CEO of Mosaic view a potential overhang, of some portion of their substantial holding and what strategies or what interest Mosaic might have in kind of helping to manage or helping to kind of address the potential for any kind of overhang should Cargill want to sell some or all of that down.
James T. Prokopanko - President and Chief Executive Officer: Okay Dave. Well, even I'm going to maybe like the answer, but I'll try to give you the best insight I have into it. One, I know that the folks over at Cargill are pleased with this investment, and that's probably an under statement. Two, Cargill folks are positive about the agricultural dynamics going forward. Those two things I know for certain. What they plan to do come August 20... October 22nd, I really don't know. And I asked first this... first time I've been asked is what do I think about what they should do. I'll tell you, I'm comfortable in that this is Cargill's first major foray into the public markets. They are not going to do anything that's going to bring into question their trust and the confidence they have built in the financial and business markets. So I don't know what they are going to do. But I... whatever it is they may do, it will be very well thought through, it will be very responsible and I think in character to the strong reputation of how they do business.
David Silver - JP Morgan: Thanks very much.
Operator: Your next question comes from the line of Brian Yu. Please proceed.
Brian Yu - Citigroup: Thank you. I have a question regarding the DAP realization guidance. You're calling for sequentially flat realizations and it looks like in North American anyway that that price is headed higher. Internationally, seeing quite strong, is it the reason behind the flat guidance essential reflecting, escalating pushing freight rates?
James T. Prokopanko - President and Chief Executive Officer: We have... of course, as we do in all of our marketing programs, we are selling forward. And so much of the price that we'll realize in the second quarter has already been captured with transactions that have already been locked in. We are allowing for some movement up, and of course we are becoming more bullish about the second half outlook for pricing for the year. So we are painting a picture, where phosphate prices are likely to stay at these high levels if not increased over the course of the rest of this fiscal year. The second quarter will fall out, but it's going to be another very good quarter of phosphate pricing.
Brian Yu - Citigroup: Okay. And on freight, can you talk about how much you might have pre-committed or hedged going forward to protect yourself from... I mean if there is any additional increases coming through and when we see movements in the Panamax or Handysize index, what's the lag between that and then flowing through to your charter rates?
James T. Prokopanko - President and Chief Executive Officer: All the comments about the forward freight bookings that's an easy answer, I will let Rick McLellan answer the one above expectations on forward freight on ocean freight pricing. We booked very little freight in advance on the... domestically, and we book a bit cautiously going forward on the ocean freight. Rick, you want to comment on what you foresee in the ocean freight markets?
Richard "Rick" N. McLellan - Senior Vice President, Commercial: It's frankly, I will stay away from commenting on the ocean freight markets, more talk about the process. So as we go forward to get, say a book of export business on, then we will look into the marketplace to build to match up to that forward sale rather than at least really record high markets taking out a significant long position.
Brian Yu - Citigroup: Okay. And just one last question with regard to future commitments in you debt, how far out are you booked from now on? I have been hearing just various anecdotal expectations or guesses. But are you booked pretty much good at the fourth... calendar fourth quarter now, and maybe some into the calendar first quarter next year?
James T. Prokopanko - President and Chief Executive Officer: We are booking sales into the second quarter now, good volume for sales into the second quarter, and we are making sales as far forward as the fourth quarter... fiscal fourth quarter.
Brian Yu - Citigroup: Okay. Great, thank you.
Operator: Your next question comes from the line of Robert Ritz [ph]. Please proceed.
Unidentified Analyst: Yes, Jim. I am not as expert as some of the guys they asked question, but I wanted to... you have the average price per metric ton for example of DAP for the quarter was 407 and potash was 106. Can you tell us what the world price is in your estimation right now and then... I've have a follow-up question.
James T. Prokopanko - President and Chief Executive Officer: In the potash you said 106, I think it is 160.
Unidentified Analyst: 160, if I said 106, I missed on 160.
James T. Prokopanko - President and Chief Executive Officer: Yes. There is couple of ways to measure it and Rick will give you the couple of alternatives on the pricing for potash.
Richard "Rick" N. McLellan - Senior Vice President, Commercial: Potash on the export side, if you wanted to look at, you can look at delivered markets, frankly the price in to Brazil if we look year-on-year, has gone from $185 towards the current price goes, it will be $355 delivered, so you have to back out freight and... back to our plant. But that will be up significantly from this number and our... and the phosphate number, spot phosphate shipments are at around $440 per metric ton.
Unidentified Analyst: Okay. So, then the obvious follow-on question, you would expect your... I know you guys have pre-sold etcetera. But I'm just saying going forward you guys would expect to start matching the world price by... is there a quarter you would think that... you would --
James T. Prokopanko - President and Chief Executive Officer: Well, it is going to be a blend of domestic and international prices. So it's we are selling at those prices today.
Unidentified Analyst: At the moving target.
James T. Prokopanko - President and Chief Executive Officer: Now we have some sales on that we may have made a month or six weeks ago, that are some of the lower prices. But we'll, that will feather into our quarterly pricing as certainly in the third quarter and fourth fiscal quarters.
Unidentified Analyst: Okay. Thanks very much.
Operator: Your next question comes from the line of Mike Segall with Deutsche Bank. Please proceed.
Mike Segall - Deutsche Bank Securities: Yes, good morning. Question about capital expenditures, I don't know if you provided this for the first fiscal quarter but what was the amount?
Lawrence W. Stranghoener - Executive Vice President and Chief Financial Officer: The amount in the first fiscal quarter was about $82 million. And our guidance for the full year is in the $360 million to $400 million range.
Mike Segall - Deutsche Bank Securities: That was my second question. Do you have a break down as to where those fiscal year expenditures will go by division?
Lawrence W. Stranghoener - Executive Vice President and Chief Financial Officer: We can give you a rough view of that. The bulk of the capital expenditures are in the phosphate business. Talking about the full year breakdown now, the great majority is in the phosphates business with the potash just under $100 million, no, I am sorry... I'm looking at some data, bear with me for a second. Well, the great majority of its going to be in the phosphate business with an increasing amount coming in the potash business. Let me just leave it at that. I don't think we provided that break down historically by business segment. That's a rough characterization of it.
Mike Segall - Deutsche Bank Securities: Okay, I am relatively new to this, so I wasn't sure what you've done historically. I guess secondarily, with all the success you have had, assuming you continue to pay down debt and your competitors enjoy the same success, you see any dangers down the road of over building, over standing in this space?
James T. Prokopanko - President and Chief Executive Officer: Oh, yes, sure. To do that without concern to the demand factors and other supplies coming on. That's something that we... we are continually on top of. Dr. Mike Rohm [ph], our in-house economist keeps the supply demand balance and it's a year ago, May of '06, we didn't see that the world markets required a kind of supply certainly in North America phosphates. So Mosaic had taken out 2 million tons of mining and granulation capacity because it wasn't in balance and we're not going to participate in creating an imbalance in the market.
Mike Segall - Deutsche Bank Securities: Now that's the right thing. Thanks very much.
Operator: Your next question is the follow up from Dave Silver. Please proceed.
David Silver - JP Morgan: Yes, hi. I've a couple of questions for Larry and I'll apologize if these are been asked before head, I'll step away. Larry, one question about the FX translation loss or translation effect going forward. Can you remind me kind of what a rough rule of thumb might be for maybe a one Canadian cent change in the value with the C dollar and how that might that translate to your non-cash translation loss?
Lawrence W. Stranghoener - Executive Vice President and Chief Financial Officer: Yes, we have roughly speaking $800 million to $900 million of non-monetary inter-company... largely inter-company assets held in Canada that give rise to this line on the income statement that I think you are referring to. And so a 5% change in the value of the Canadian dollar versus the U.S. dollar would be $40 million to $45 million, one way or the other.
David Silver - JP Morgan: And I apologize for asking such a basic question, but in the release you mentioned a C-dollar to U.S. dollar rate of 1.05 C dollars to the U.S. dollar, I think we are slightly above parity now. So, I think is that correct, I mean we are already kind of 5% toward in that direction.
Lawrence W. Stranghoener - Executive Vice President and Chief Financial Officer: Yes. According to the second quarter, there has been a significant movement, so which would suggest should stay there, much bigger loss on that line in the second quarter.
David Silver - JP Morgan: Okay. Thanks a lot. And then just to clarify your comments on the tax rate. So we had a sub... we had a below 30% tax rate in the first quarter, and then you gave a full year guidance in the low 30s, I believe. Is the only change in your full guidance, Larry, with the main change just the tax... the net credits that you recognized in the first quarter or are there some additional factors that we need to think about kind of for the year? In other words, what caused the change in your full year kind of tax rate guidance?
Lawrence W. Stranghoener - Executive Vice President and Chief Financial Officer: There are additional favorable factors, Dave. And as we have said in the past, a lot of very positive things happened to our tax rate and our tax situation when the phosphate business becomes profitable. And of course the phosphate business and our U.S. business more specifically is becoming very, very profitable very, very quickly. And that's allowing us to reverse the valuation allowance that we've had in place versus the tax assets that have been on the books that has a positive balance sheet impact as well as a modest positive P&L impact. It allows us to fully utilize foreign tax credits, whereas we were only using them as deductions in the past that has a very favorable impact as well. So the improving and the dramatically improving profitability, the phosphate business has all kinds of spill-over effects including positive effects on the tax rate going forward.
David Silver - JP Morgan: Okay. And then in the prepared... sorry, in the text, I guess there is question about Esterhazy, but I guess it was remark that there were some additional water inflow control expenses this quarter versus I guess the prior quarter. Can you just kind of update us on what the inflow rate might be and what kind of expenditures, we could expect there? Thanks.
Lawrence W. Stranghoener - Executive Vice President and Chief Financial Officer: We would characterize the brine inflow into Esterhazy to be in the historic ranges that we have experienced pre this last event. We are managing to control it and further choke it off, and work is taking place underground now to water that is the limited water that is coming in, we are directing it, we are collecting it. We continue to pump it as well the voids that were created are being back filled. So remediation, any damage that have may have been done and further work to further reduce the flow is underway. We are at pumping capacity... increased pumping capacity that the peak rate can take out 12,000 gallons per minute, and we feel that that is... it's being well managed.
David Silver - JP Morgan: Very good. Thank you.
Operator: Your next question comes from the line of Sandy Klugman with Credit Suisse. Please proceed.
Sandy Klugman - Credit Suisse: Hi. That's some great results in the Offshore segment. I was wondering if you can provide us with the guidance going forward both on the gross profit line, how much high do you think you can push the gross margins, and also in terms of the equity contributions we can expect? Thanks.
James T. Prokopanko - President and Chief Executive Officer: The guidance we do provide pertains to equity earnings, and our guidance has been to expect $50 million $75 million of equity earnings this year. We are seeing very strong results and expect to continue to see strong results from Fosfertil, we will see much strong results from Saskferco in the reminder of the year, and so I think if any thing we would be toward the high end of that guidance range and then perhaps an opportunity to do much somewhat better than that. For the Offshore segment, we had a very strong first quarter. Again, some of that was due to inventory gains. That is we pre-positioned inventory at the end of last fiscal year at much lower cost, sold it at prices close to prevailing market prices in the first quarter and capture that inventory benefit and of course that won't continue to the same extent through the rest of the year. We are also in the seasonally strongest part of the offshore business. So my caution would not be to simply annualize the first quarter offshore number. That said, we are very pleased with the results we are seeing in offshore. We have got continuing momentum in the second quarter and it's going to be a very good year for our Offshore segment, both in terms of operating earnings and in terms of equity earnings.
Sandy Klugman - Credit Suisse: Great, thank you very much.
Operator: Your next question comes from the line of Steve Byrne with Merrill Lynch. Please proceed.
Steve Byrne - Merrill Lynch: Hi. Can you comment on phosphates feed pricing trends in your outlook there and also comment on your non-ag potash pricing? When do those industrial contracts expire that are lagging the market?
Richard "Rick" N. McLellan - Senior Vice President, Commercial: It... I'll answer that one... when we look at our feed pricing, we just completed a... for the domestic market of $35 a ton price increase effective October 1st and that's in play for all shipments that are happening going forward. In our non-industrial segments or non-ag segment, we've one contract that is coming up for renewal in December and we are very close to finalizing those negotiations.
James T. Prokopanko - President and Chief Executive Officer: And that will take, it's a fairly substantial contract that will take it to current market pricing?
Richard "Rick" N. McLellan - Senior Vice President, Commercial: Yes, yes.
Steve Byrne - Merrill Lynch: And then one last your... it appears that your Chinese phosphate joint venture just hasn't improved in profitability like Fosfertil has. Is that true and what do you see going forward in the Chinese DAP market?
Richard "Rick" N. McLellan - Senior Vice President, Commercial: I think the... what you see there is the reflection that most of that production goes into the domestic Chinese market which is a discount to world markets.
Steve Byrne - Merrill Lynch: Okay. Thank you.
Operator: Your next question comes from the line of Don Carson with Merrill Lynch. Please proceed.
Donald Carson - Merrill Lynch: Just a follow up on Potash, couple of questions. I saw that our analysis shows it did have a rise in cost, just wondering was there an increase in water inflow cost? Was that just do more to turnaround, so you could talk about trends there? And then Jim looking further road, any additional clarity as to when potash corps share of reserves at Esterhazy will be mined out? And that your production will hence be able to increase?
James T. Prokopanko - President and Chief Executive Officer: We had... well first of the... Don, to first to the question about cost increases. We had a turnaround at our Colonsay potash plant and that was down for a while, so some of the cost absorption issues resulted in a higher per unit cost. But we are pleased with where we are tracking on our potash costing overall.
Lawrence W. Stranghoener - Executive Vice President and Chief Financial Officer: And Jim I would just add water management cost for just over $ 10 million in the quarter which would have been up significantly versus last year, Don.
Donald Carson - Merrill Lynch: But how about sequentially?
James T. Prokopanko - President and Chief Executive Officer: Sequentially water management expenses were probably about flat. I don't have the number at my finger tips, Don, but probably flat to down slightly from the fourth quarter
Donald Carson - Merrill Lynch: Okay.
James T. Prokopanko - President and Chief Executive Officer: And your question about the other tonnage that we are toll producing for other manufacturer, some of our potash. That is currently being discussed and negotiated as we speak. They've admitted that I think their public statements sort of it's around 2013. It could be sooner than that, what we have to do is calculate their remaining reserves of potash that was agreed to in the initial contract as fairly... there is fair bit of calculation, estimation that's required there and the two companies are working together to come to a conclusion on precisely when that would be.
Donald Carson - Merrill Lynch: And you mentioned that you're accelerating some potash capital expenditures, given the strength in potash markets, are you bringing forward the Belle Plaine, and Colonsay plant expansions?
James T. Prokopanko - President and Chief Executive Officer: No, we've not announced that we're going to do that.
Donald Carson - Merrill Lynch: Okay. Then final potash question, very often when we see this kind price strength in the markets when you mention Brazil going from 185 to 355, there is often a lot of buying in inventory accumulation by end users. Can you comment on what you think the inventory position of some of your key end users in potash are particularly in China and maybe give some parameters around what price increase you might expect there on the 2008 contract?
James T. Prokopanko - President and Chief Executive Officer: Well, China particularly is always hard to get the, get the data on and, and if you do you are not sure if it's accurate. We are not, we don't believe that there's substantive pipeline building in China, nor in Brazil. We've seen world stocks of fertilizer come down, potash included over this past year as farm demand has been so strong. So we are not, we are not seeing... we could be surprised. But we are not seeing anything surprising in that regard and most importantly our North American stocks are lower than they were last year and there is a good bit of pent up demand in North America. So even if there is and I don't know if there will be or... and I don't think there should be a delay in the China purchase of potash. We have got customers that are more than willing to take what we would normally produce and ship to China.
Donald Carson - Merrill Lynch: Okay. Thank you.
Operator: Excuse me [ph].
Douglas Hoadley - Vice President of Investor Relations: We will take one more call.
Operator: Okay. Your final question comes from the line of Marshall Reid with Banc of America Securities. Please proceed.
Marshall Reid - Banc of America Securities: Thanks for taking my question. You mentioned pent up demand in potash, but on phosphate we read about regional shortages last spring, can you just talk about phosphate nutrient levels in the soil in the U.S. heading into the spring and do you think we can see an increase in application rates that maybe more than offset any decline in corn acreage?
James T. Prokopanko - President and Chief Executive Officer: The...we are... I am somewhat, I wouldn't say indifferent. I always like to see corn being planted versus beans. But in potash and phosphate the difference between phosphate potash application rates to corn and beans isn't as big as the case with nitrogen. So I think total nutrients... all nutrients is something like 4 or 5 pounds breakers or call it maybe 8 to 10 pounds of fertilizer DAP, MAP, potash fertilizer per acre is all the difference is. So we are not going to see the swings where you can have a 100 pound difference on soybeans versus corn. You just don't see those kind of swings on potash, on potash and phosphate on corn versus beans. So frankly, not a real big deal there in, so that's just really not on our radar. Did that help?
Marshall Reid - Banc of America Securities: It does. Thanks.
Douglas Hoadley - Vice President of Investor Relations: All right, thank you very much for taking the time with us and that's the end of the Mosaic conference call for first quarter.
Operator: That concludes the presentation. You may all now disconnect. Good day.